Carol Schumacher: Welcome to the Wal-Mart Stores Fourth Quarter Earnings Call for Fiscal Year 2008. This is Carol Schumacher, Vice President of Investor Relations. The replay of this call and related materials about the quarter are available on our website. Here’s the agenda for today’s call. Lee Scott our President and CEO will analyze our business results and will comment about fiscal year 2009. Tom Schoewe, CFO will cover a lot of detail on the financial results for the company. Wal-Mart US President and CEO Eduardo Castro-Wright will recap the results for that business and will address the strategic initiatives underway in this current fiscal year. Mike Duke, Vice Chairman who runs our International Business will lay out the strategy for Wal-Mart International as well as the details on results for each of our countries. Charley Holley, EVP and Treasurer will wrap up the operating segments with SAM’s Club and Tom will close the call with guidance for the first quarter and FY09. Before we begin we have two things to share. First our redesigned and enhanced website for Investor Relations on www.WalmartStores.com goes live this Saturday, February 23rd and we appreciate any feedback you have for us on the site. Second, thanks for your patience during the past quarter while the IR team was short a director. [Mike Beckstead] will join our team next week as Director of Investor Relations. He brings to Wal-Mart a background in accounting and investor relations as well as experience in the grocery area of retail. This call is a bit longer than what we normally do so get ready. There’s just a lot more detail. With that let’s begin.
H. Lee Scott: Welcome everyone, thank you for joining us and for your interest in our company. Before I get started let me apologize a little for my voice. I am suffering from the flu I believe it is. I am taking my $4 antibiotics from Wal-Mart so I feel like I’m going to be on the mend. Let me get started. I am happy to report that Wal-Mart Stores Incorporated had another record quarter and fiscal year. Let me begin with our record sales. Total net sales for fiscal 2008 reach $375 billion an 8.6% increase for our company. We added approximately $30 billion in sales which is more than many retailers generate in total sales over the course of an entire year. Said another way, $30 billion would be the equivalent of a fortune 75 business. For the fourth quarter we topped $100 billion in sales. The first time in history that a global retailer has reached this milestone in sales in a single quarter. Earnings also were strong. Earnings per share from continuing operations for the fourth quarter were $1.02 per share up from $0.95 per share last year. In addition, we delivered a record return to our shareholders this year through more than $11 billion in share repurchases and dividends. These record results came about because all of our operations around the world were ready for the holiday. In fact, the plans that our teams put in place earlier this year delivered for our customers and for our shareholders. Tom Schoewe will share more details on the numbers but clearly our underlying operational performance exceeded the expectations we had at the beginning of the quarter. I want to say how proud I am of the more than two million Wal-Mart associates around the world who executed our plan in such a way that allowed our company to make significant progress in an economy that got more difficult as the year progressed. We knew our customers would be stretched during the holidays and we made sure that they knew they could count on Wal-Mart for low prices. The combination of price leadership with improved store operations made the difference for Wal-Mart US this year. We had excellent results in grocery, health and wellness and electronics. The focus on key items early in the season and throughout the holidays was strategically planned. Big investments on items like digital photo frames paid off in important categories. Our associates delivered on the plan called Operational Excellence. Across the country Wal-Mart customers experienced stores that were cleaner, better in stock and had quicker and friendlier check out experiences. Wal-Mart US truly executed on its “Save Money Live Better” message. Wal-Mart International continues to optimize its assets and leverage opportunities across the countries. You are going to hear from Mike Duke today that we can enhance our global leverages within the total Wal-Mart business. The collaboration among the operating segments will make Wal-Mart even stronger as we move forward. SAM’s Club closed the year well with profits growing faster than sales for the year. The team continues to drive operating income through comp sales, expense management and in club operational execution. In the Wal-Mart US business we have moderated our capital expenditure for the next three years and slowed down our square footage growth. We are investing more in existing stores through remodels and resets. This strategy changed how we operate our company. I can assure you that the discussions in our real estate meetings are very detailed and thorough to make sure that we generate the best possible returns. The savings in capital along with our strong financial position should enable us to continue to provide superior returns to our shareholders. Wal-Mart also continued to take on tough challenges that can make a difference in the world. Last month I built on my 21st century leadership speech and we spoke to our US managers about creating the Wal-Mart of the future. In addition to the work we already have underway we are focusing on three fronts: Driving more efficiency and affordability into the US HealthCare system Helping our customers and suppliers us less energy Ensuring that we are sourcing products in a way that is ethical and environmentally responsible. Our company is well positioned from a management standpoint, both in our capacity to manage our core business and to improve our business model in a complex world. We have the right structure for Wal-Mart’s business and the operating segments. Our support groups are led by extraordinarily talented people. Around the world we will continue to execute on the plan that served us so well this past year, price leadership, well managed inventory and operational excellence. We do have high expectations. We also know there are areas where we need to continue to improve. No one has a crystal ball to look into the economic future. We know the economy will be a critical factor this year. Some customers were a little more cautious in their spending in January and that was reflected in our US comp sales numbers for that period. That is why we will continue to be diligent in improving our business in every way and at every turn. I was optimistic about the holidays, the fourth quarter and our ability to compete as a global retailer and to thrive in this economy. Looking at the results we are sharing with you today I would say my optimism was and continues to be well founded. I’m excited about this fiscal year and I’m also excited about the next five to ten years. When you invest in Wal-Mart you are investing in a company and a model that will be even more relevant in the future. We are growing a global company, strong in both our domestic market and international markets. We are committed to grow with the customers and in markets that will make the biggest difference in the next five to ten years. Throughout all of this we will continue to cement our price leadership position in retail. We are delivering on Sam Walton’s vision to give the world an opportunity to see what its like to save and have a better life for all. Let me turn things over to Tom.
Tom Schoewe: Let’s get right into the details of our fourth quarter and the full fiscal year for 2008. Total net sales for the company for the fourth quarter of fiscal 2008 were up 8.3% to $106.3 billion. Included in these results is a total US comp of 1.7%, that’s without fuel. That’s within the range we provided you for the quarter. Operating income was up 7% with income from continuing operations for the fourth quarter increasing 4.0%. Diluted earnings per share from continuing operations in this quarter were $1.02 a share that’s an increase of 7.4% over the same quarter last year. Our diluted earnings per share results included net charges of approximately $0.02 per share for certain items. Let’s get behind those numbers. Diluted EPS for the fourth quarter was impacted negatively by a total of $0.03 per share which included two items; first approximately $70 million in after tax expenses related to dropped US real estate projects. As Lee shared with you and as we discussed at our October Analyst and Investor Meeting we are committed to capital efficiency. This $70 million in after tax expenses represents the amount by which we exceeded the dropped project expense in Q4 and the full fiscal year in 2007. Second, an approximately $32 million after tax restructuring charge for the head count reduction at Seiyu. You’ll recall that we gave you a heads up on this item at the end of our last quarter. On the positive side these charges were offset partially by a $0.01 per share credit due to the recognition of $38 million in after tax gains from the sale of certain real estate projects. Finally recall that last fiscal year, that would be Q4 of fiscal 2007, we had a benefit of $0.02 related to the resolution of certain tax items and the renewal of the work opportunity tax credit. What does all this mean? In summary, we had a net after tax charge for the three items in the fourth quarter of this year of $0.02 per share and an after tax gain of $0.02 per share in the quarter last year. Taking into account these items I think you’ll agree, we had a strong underlying operating performance for the quarter. Now for the details of full fiscal year 2008. Net sales were $374.5 billion that’s an 8.6% increase over last fiscal year. Operating income was up 7.3% with income from continuing operations up 5.8%. Diluted earnings per share, once again from continuing operations for the full fiscal year, were $3.16 which is an 8.2% increase over last fiscal year. Let me remind you that this is within our original guidance that we provided last year at this time. It’s near the top of the range we provided at the end of the third quarter. Total US comp store sales for the fiscal year were 1.4% without fuel and 1.6% with fuel. Wal-Mart US reported a 1.0% increase and SAM’s Club a 4.2% increase. Again, both of these comps are without fuel. Let’s move on to the rest of the details. Consolidate gross margin was up 51 basis points for the fourth quarter with increases reported by each operating segment. Consolidated inventories were up approximately 4.4% against a fiscal year sales increase of 8.6% year over year for fiscal 2008. We are really pleased that total US inventory increased less than 1% on the sales increase of approximately 6%. Kudos especially to the significant progress that Wal-Mart Stores US made this fiscal year and the continued strong inventory focus of our SAM’s Club team. Payables as a percentage of inventories for the company were 86.3% at the end of fiscal year 2008 which is up slightly from the 84.6% we reported last fiscal year. This improvement continues as a result of our inventory management progress primarily in our US operations. Other income was up 17.3% for the fourth quarter and up 16.8% for the year. Good news continues in financial services here in the United States. Eduardo will provide a little more perspective on financial services here in just a moment. Recall that other income also includes club membership fees, tenant lease income and recycling income. Other income for the fourth quarter and for the full year also includes gains of $57 million and $188 million respectively related to the sale of certain real estate properties. Consolidated operating expenses as a percentage of sales for the fourth quarter were up 68 basis points over the same period last year. As expected, we did see increases in maintenance and repair expense due to our accelerated efforts to update the US Wal-Mart stores through remodeling as well as higher advertising expense for Q4 versus Q3. On a fiscal year basis consolidated operating expenses as a percentage of sales were up 22 basis points. Corporate overhead expenses were up approximately 9% for the fourth quarter. As we noted at our October Analyst meeting in fiscal 2008 we began investing in three long term transformation projects designed to enhance our information systems. These cover: Merchandising Finance and Human Resources These costs drove a large part of the increase in overhead expenses in Q4 and will continue to do so in fiscal 2009. Now let’s cover the details on interest expense, our tax rate and our debt levels. Net interest expense was up 56.8% for the fourth quarter over last year. The increase in interest expense was impacted by an increase in debt in the current fiscal year. We’ll have more on share repurchase in just a moment. Certain prior year credits related to both international and interest on tax accruals. Speaking of tax, our tax rate for the fourth quarter was 33.8% bringing in our rate for the full fiscal year at 34.2%. We expect our tax rate for fiscal 2009 to be within the rage of 34% to 35%. At our Analyst meeting in October we explained that our capital efficiency model is something that we initiated in the fall of 2006 was in high gear. It’s applicable to every single real estate project we review both here in the United States and in our International operations. This past October we forecasted that we would end fiscal year 2008 with total company capital expenditures some where between $14.7 and $15.4 billion. I’m very pleased to report that we ended the year with total capex of $14.9 billion. That’s a 4.7% reduction from the $15.7 billion we reported last fiscal year. As a reminder, we projected a range of $13.5 to $15.2 billion in capital expenditures for the company for fiscal 2009. Let me be clear, we are not moving dollars from the United States to fund International growth. US capex is projected to be down between approximately $1.4 billion and $2 billion for fiscal 2009 when compared to 2008. This would more than offset the $500 million projected increase in International in fiscal 2009 when compared to 2008. For the fourth quarter our ratio of cash from operations to average debt was approximately 39%. Debt to total capitalization was 40.9% at the end of the fourth quarter. This is above the 38.8% rate at the end of the same quarter last year. This obviously leads to a discussion of share repurchase. In the fourth quarter we repurchased more than 50.9 million shares for approximately $2.4 billion. Year to date we repurchased approximately 166 million shares and in dollar terms that approximately $7.7 billion. During fiscal 2008 we returned more than $11 billion to our shareholders in the form of share repurchase and dividends. Return on investment from continuing operations for the trailing 12 months that ended January 31, 2008 is 19.5% and compares to 19.9% that we reported at the same period last year. Let me point out that we are making strides towards the goal of flattening ROI. Three years ago ROI declined on a consolidated basis 110 basis points. Last year the decline narrowed to 60 basis points. Now at the close of fiscal 2008 that gap is down to 40 basis points. Clearly our emphasis on capital efficiency is paying off. I’ll wrap up with a discussion about free cash flow. Recall that in October we laid out for you our goal to improve free cash flow. The capital efficiency model doesn’t stand on its own. We continue to be focused on a very integrated strategic plan to drive sales, profitable growth all at very good returns that yield improved free cash flow. We define free cash flow as cash provided by operating activities right off the cash flow statement less capex. The company generated $5.4 billion in free cash flow in fiscal 2008 and that compares to $4.3 billion in fiscal 2007. This represents a 25% increase year over year. With that let me turn things over to Eduardo Castro-Wright and he’ll share what’s going on at Wal-Mart US.
Eduardo Castro-Wright: With a strong fourth quarter Wal-Mart Stores US closed fiscal year 2008 on a high note. Let me start with an overview and then we will get more into the details. We had solid performance for the quarter driven by seasonal events including Thanksgiving, the holidays and game time. Wal-Mart outperformed key competitors in the mass merchant grocery and many specialty channels. Our inventory was clean throughout the quarter and we are very well positioned for the first quarter of fiscal 2009. We follow through aggressively on our save money live better promise and we greatly improved customer experience. Now let’s look at some of the specific numbers for Wal-Mart Stores in the United States. Total sales for the fourth quarter were $67.4 billion up 5% over the same period last year. For a total year net sales were up 5.8% at Wal-Mart Stores US driven by strength in grocery, health and wellness and electronics. Operating profit grew faster than sales for the quarter and was up 5.3% over the same period last year and up 5.4% year over year for the full fiscal year. As Tom pointed out earlier the Wal-Mart US operating profit for the fourth quarter and the fiscal year was negatively impacted by charges related to a greater than expected number of real estate projects that have been cancelled or postponed. These projects were dropped as a result of our emphasis on capital efficiency and its requirement for projects to meet more stringent return on investment criteria. Let me provide a little more context on this before I continue with our results. Throughout the year we took opportunities to re-review our real estate projects using the new capital efficiency model. This was designed to take the numerous approved projects in our pipeline and prioritize them. Therefore, we postponed or cancelled many projects which resulted in increased operating expense. We feel these actions will go a long way to improve returns in the future. In other words, short term pain for long term gain. These actions enhance our ability to moderate our future capital growth. Gross margin dollars increased 7.6% for the fourth quarter and 6% for fiscal year 2008. Despite slightly higher strength gross margin as a percentage of sales was up 62 basis points for the fourth quarter year over year and up slightly for the full year versus last year. Initial margins across most businesses showed increasing strength throughout the year. We also saw pressure from increased transportation costs which impact our cost of sales and gross margin. In 2007 on highway diesel prices increased by $0.25 per gallon. This cost increase did negatively impact transportation costs by direct fuel costs and fuel surcharges. We do expect fuel costs to be a potential headwind for fiscal year 2009 if they continue to rise beyond our projections. That being said, our logistics team has instituted other expense saving projects to help keep overall projected costs more in line with the fiscal year just ended. We are proud of our year over year inventory performance which grew at 0.7% versus a sales increase of 5.8%. We certainly surpassed our goal of growing inventory at less than half the rate of sales growth. This achievement was due largely to a very strong performance during second half of the year as well as improvements made in merchandise flow processes and systems. A Wal-Mart Stores comp of 1.6% for the fourth quarter was within our quarterly guidance. Comp sales were driven by a 3.4% increase in average ticket. Customer traffic continued to decline but at a reduced rate during the fourth quarter compared to earlier in the fiscal year. In other words, our traffic trends are improving. We have more people going through our stores than any other retailer and this provides a significant growth opportunity for us. I would like to point out that while many of our competitors have negative comps for the January period if we convert Wal-Mart’s comp to many competitors calendar for the periods our comp would have been a solid 3%. Further, non-impacted comp stores sales improved each consecutive quarter during the fiscal year. Let me remind you that non-impacted stores are those not influenced by new store openings. Segment operating expenses as a percentage of sales were on plan for the quarter up 70 basis points year over year. Some of this increase in operating expenses was due to the dropped real estate projects and due to maintenance related to our remodel program. We also saw increases in advertising investment to support introduction of our new Save Money Live Better campaign. For fiscal year 2008 operating expenses as a percentage of sales were up 21 basis points over the prior year reflecting the same factors outlined for the fourth quarter. Our labor productivity rates continue to increase an in fact are up almost 12% over the previous quarter of fiscal 2008. We plan to complete the roll out of the scheduling system in all departments in all stores during the first half of fiscal year 2009. Where are we on our strategy moving forward? Our priority is to further establish our “Save Money Live Better” platform. We are very committed to this vision and we are engaged in ensuring that the clarity of our merchandise offerings back this price leadership message. With a more challenging economy and inflation still rising in some categories customers have the confidence they can count on Wal-Mart to save them money on great brands and on every day needs. We are confident that our customers see how relevant this message is in their lives we will capture more than our fair share of retail sales. During the quarter we saw continued inflation in core food categories including dairy, meat and bread and this is something we are monitoring on a daily basis. We believe however the rate of inflation passed along in our stores is less than our competitors in the grocery category saving customers money and building loyalty. We can do this because of our operating efficiencies. The entertainment category continues to see inflation especially in flat panel TV’s. We have dedicated additional square footage to our entertainment selling space this past year. Our entertainment area is clearly the destination for our customers. We will continue to drive new brands and new technology in this area. Health and wellness continues to grow in importance. We have redesigned many of our pharmacies to be more customer friendly. The ability of our pharmacy assistance and the commitments our associates enable us to drive top line sales and control costs as we continue to fill more and more prescriptions. Customers appreciate the access and affordability of our over the counter offerings. With our size and presence we have the ability to be first to market on drugs and move from prescription to over the counter. Additionally our private label Equate is well respected and offers higher margins. Our apparel business is improving; the expansion of our New York based operations is already proving successful. Performance of our private brands is getting better as we offer key items for $10 or less in very label. Early spring sales are very promising as a leading indicator of this core part of our business for the first half of the year. To bring our customers top brands we are adding known brands to our offerings. These include Garanimals already available in baby and kids. Ocean Pacific or OP coming in the spring across all of our apparel and LEI the denim brand for back to school in juniors and girls. We are experiencing significant growth over last year in locations where we have clarified our offering. On project example is our Express for Less program where we expanded the amount of space devoted to the Hannah Montana Collection. Wal-Mart is selling the majority of all Hannah Montana merchandise in the marketplace. Last, in apparel we are investing in growth businesses which include athletic wear, athletic shoes and licensed merchandise. In the Home area we are working hard on improvements, you will hear more from us on this category later in the first quarter. We continue to see strength in financial services including money transfers, check cashing and bill payment. We saved our customers almost $330 million this fiscal year which is well above the $250 million savings in fiscal year ’07. Our Wal-Mart money centers were expanded to more than 430 stores this past year. They continue to achieve better comps and create a great experience for our customers who depend on our basic money services to help them live better lives. We saw in the second half of the year much better integration of our operations, merchandising and marketing programs and communicating with our customers. Wal-Mart’s advertising in the fourth quarter kicked into high gear with our central message “Save Money Live Better”. Effort also was allocated to our site to store service and we are very pleased with the customer response to this offering. Let me remind you that this was the first holiday period with site to store availability in all Wal-Mart US stores. You saw the same theme process work for us with theme time around Super Bowl and Valentine’s Day. You will see much more of this integrated communication process come to life during the year. Internally we continue to drive operational efficiency; we are undertaking the second phase of our operational excellence initiative in the stores. As I told you in the third quarter call this is a cycle of continued improvement and the operators from the divisional precedence to the market teams work on these improvements every day. Since the roll out of the front end programs customer check out gradings continue to improve quarter over quarter all year. We survey almost two million customers each quarter and they are noticing improvement. All five of our measured in store customer service metrics hit new highs in the fourth quarter. Including those on faster, friendlier and cleaner stores. With increased capital for remodeling projects we are increasing the number of stores on this program during the next three years. There will be various levels of remodels from the light touch to a full remodel to ensure that we deliver a relevant customer experience for each market. For example, the home pad remodel completed during the third quarter has shown great promise and we will roll this out to additional stores this coming year. Our goal is to see improved sales in the home category by the second half of fiscal 2009. We also have seen our associate engagement scores at their highest level in years. It is due to many of the operational initiatives underway in our stores. Remember that engaged associates take better care of customers. The groundwork in all these areas that we have laid during the past two years enabled us to have a strong fourth quarter and put us in a solid position for the start of fiscal 2009. More importantly we feel we are ready for an economic environment that we believe will be challenging and volatile at times. We are the advocate for the customer and we are confident that our message “Save Money Live Better” is reinforcing the trust of our broad customer base and also inviting new customers to shop at Wal-Mart. We feel good about the start of the fiscal year, we are well positioned with our “Save Money Live Better” platform, we have assembled a very capable and committed team and we are executing the strategies to deliver solid results for the first quarter and for the year. Now I will turn the microphone over to Mike Duke.
Mike Duke: It has been another very good year for Wal-Mart International performance. I’m pleased with our results and even more enthusiastic about the future prospects for our business. Let me start today with an update on our International strategy and then I’ll cover a summary of our financial results for the fourth quarter and the year. Our strategic direction has remained consistent during the past two years in terms of optimizing our assets and using the leverage we have as a part of the Wal-Mart family. This year we have further enhanced our strategic direction with a third initiative, winning in each market. Our strategy is now based on: Portfolio optimization Global leverage Winning in each market First, we are focused on portfolio optimization; this strategy is about creating shareholder value in existing as well as potential markets through specific country objectives. Capital expenditure efficiency and resource allocation a major strength of our International business is the portfolio of markets, mature markets producing significant cash flow as well as emerging markets producing outstanding growth both current and future. Second, since we operate in many markets around the world we can enhance global leverage within Wal-Mart International and total Wal-Mart. In this area I am especially proud of how the International markets are leveraging global procurement with a significant increase this past year in purchasing. We also are leveraging technology and systems at an accelerating pace. Our learning from multiple store formats has been an outstanding point of leverage as well. Much of our International growth is now coming from smaller more capital efficient store formats because we have leveraged our learning’s. One initiative I am really excited about is developing relationships with our key global suppliers to drive volume based EDLC through a formal consistent process. Our initial discussions with key suppliers regarding this process have been extremely positive. I’m happy that we’re having these conversations in conjunction with Eduardo Castro-Wright and other Wal-Mart US counterparts. Third, this year we added developing a specific plan for winning in each market. Winning in each market means that we either must be a leading retailer in a market or we develop a strategy which gets us to the path to leadership. If we can’t see a winning path in a given market then we would have exited that market. I am pleased that we are currently winning in the majority of markets we are in and in the other markets we see a path to winning. Let’s move to the specifics of Wal-Mart International’s fourth quarter performance. International net sales from continuing operations for the fourth quarter were $27.0 billion that’s an 18.8% increase over the prior year. The impact of currency valuation on sales generated a benefit of $1.7 billion driven primarily by continued strengthening in the British Pound, Canadian Dollar and the Brazilian Real. Our strongest underlying sales performance in the quarter came from China, Brazil and Argentina. ASDA in United Kingdom continued with very positive sales results in the fourth quarter. Wal-Mart Canada delivered its strongest quarterly sales increase in the year during the fourth quarter. For the full year Wal-Mart International sales were $90.6 billion. As a stand along business Wal-Mart International would be one of the largest, fastest growing and most successful global retailers. Segment operating income from continuing operations for the fourth quarter was $1.7 billion. Gross margin for the segment was up versus the fourth quarter of last year largely as a result of improvements in Brazil and Canada. Operating expenses as a percentage of segment sales were up from the fourth quarter of fiscal 2007 this included approximately $32 million of after tax restructuring charges to better align Seiyu’s infrastructure and store level impairment charges at Seiyu. Excluding these items and the affect of property sales gains in fiscal 2007 operating income would have grown consistently with segment net sales. The fourth quarter impact of currency valuation on operating income was a benefit of $106 million. Now let’s look at operating highlights by country. During the year ASDA was a winner in the UK, being the fastest growing of the big four retailers. In fact, ASDA achieved above market average growth every single month this year. ASDA has now added almost two million customers and 50 basis points of market share since the start of fiscal 2007. For the year comp sales excluding the positive impact from fuel were up in the mid single digits with total sales increasing in the high single digits. ASDA beat its fiscal 2008 business plan in sales and operating income by executing against its strategic plan. ASDA had a successful Christmas and fourth quarter. We are especially pleased given that it was against the toughest quarter in fiscal 2007. Fourth quarter operating income was at the same level as last year due to property sale gains in the fourth quarter fiscal 2007 and higher associate incentives in the current year. The higher incentives recorded in the fourth quarter reflect ASDA’s stronger full year performance. The UK is a mature market but there is still opportunity for ASDA expansion. We are adding new locations as well as more ASDA living stores a format that is very successful for us. We are also increasing the web based grocery home shopping business and we expect 95% coverage of the market by the end of the year. With the UK consumer under pressure ASDA has started fiscal 2009 by emphasizing price with its position endorsed by independent web based price checker www.mysupermarket.co.uk. Sales in January were encouraging with comp growth again in the mid single digits. Wal-Mart is the largest and most successful retailer operating in Latin America and we see significant growth ahead. Let’s start with Mexico. Sales there continue to be affected by the broader macro economic environment. Additionally, our Mexican business was up against a tough year over year comparison in the fourth quarter. Despite the soft economy our management team in Mexico is reacting to the changing business environment and gaining customers. Total sales for the quarter were up 6.7% in real terms. Real comp sales in Mexico were up 0.3% in the fourth quarter the sales increase for the quarter was driven by strong 13.7% surge in customer count. However, the slowing economy caused our average ticked to decrease 6.1% during the quarter. All of our self service formats in Mexico continue to deliver positive real comps. However, there remains pressure on our restaurant and our apparel business, the VIPS and the Suburbia formats. As we have seen throughout the year lower consumer discretionary spending is impacting these two formats. Gross margin for the quarter increased over fiscal 2007 despite an unfavorable mix shift away from the higher margin goods at Suburbia and VIPS. All self service formats increased their margin. Expenses increased slightly as a percentage of Wal-Mex sales because of start up expense for Bank of Wal-Mart and the overall sales pressures. Operating income in Mexico remained relatively flat as a percentage of fourth quarter net sales. Let’s move on to Brazil. Without the impact of currency fluctuations Brazil sales grew 15% when compared to the fourth quarter of fiscal 2007. Comps in real terms continue to be in the upper single digits for the fourth quarter of fiscal 2008 and continue to be ahead of our key competitors. We consistently gained market share throughout fiscal 2008. Operating income in Brazil was above plan for the quarter and the full year. Brazil operations including the acquisitions in the Northeast and the South keep improving and delivering results ahead of plan. For fiscal year 2009 Brazil is expanding low income consumer formats with more than 60% of new stores concentrated on our soft discount format Todo Dia and the cash and carry format Maxxi. Brazil continues to be a great example of our global leverage. Our Brazilian business has seen margin improvements from our global procurement operation. In addition, costs and productivity improvements continue year over year due to operational improvements learned from other markets such as the fast lane and the front end initiatives described in the October Analyst meetings. These initiatives not only improve productivity but also improve customer services. Argentina continues to exceed our plans and last years performance with real comps in the high teens. Operating income in Argentina was above plan in the fourth quarter. Our new format in Argentina Changomas has continued its excellent performance with sales well above initial plans. Additionally, we have successfully converted the three recently purchased Auchan stores into Wal-Mart Supercenters. The stores are exceeding our expectations in terms of sales an operating income. With this acquisition the company has become the fourth largest player in the Argentina retail market. Another great example of global leverage, the new formats introduced in Argentina and Brazil tailored to the low income customer were patterned after experiments in Mexico. As a region we hope to see even more examples of idea sharing relevant to the local customer in the years to come. Before the impact of currency fluctuations and inflation fourth quarter sales at Wal-Mart Central America grew in the high single digits over the same quarter last year. Fourth quarter comps were in the low single digits, operating income was ahead of the same quarter in fiscal 2007. Let’s move back to North America before going to Asia. In Canada total sales increased in the high single digits for the fourth quarter while comp sales grew in the low single digits. Sales in November and December were the strongest. Sales in November were favorably affected by cold weather after an unseasonably warm October. December was favorably affected by the significant increase in the opening of many Wal-Mart 24 hour stores throughout the holiday season. During the quarter the Canadian customer was very sensitive to prices given the strong Canadian Dollar. More aggressive roll backs helped to deliver stronger sales. In addition, we ensured that prices for books, magazines and cards typically priced in both US Dollars and Canadian Dollars were sold to the customer at the lower US Dollar price and made a number of price moves on electronics and media to bring prices in line with Wal-Mart US prices. This was extremely well received and we expect to see strong market share gains. Sales were strongest in electronics categories during the fourth quarter with solid growth in apparel, shoes, pharmacy and tire and lube express as well. We continue to be encouraged by the customer reaction to the introduction of the Supercenter format in Canada as we see very positive increases in customer count and average ticket. The first seven Supercenters have all been open for at least a year and have delivered sales and profits ahead of our original plans. In the fourth quarter the Wal-Mart Canada segment income increase was in the low double digits. Gross margin was up because of three factors; a good mix of seasonal and apparel merchandise sales, stronger margins on direct imports and aggressive roll backs. Wal-Mart Canada’s expenses grew slightly slower than sales due to good cost control and fixed cost leverage underlying expenses in the discount stores were well below sales growth but this was partly offset by the start up costs of Supercenters and pre-opening expenses, wages and fixed rent. As we said in the October Analysts meeting both Canada and Mexico has ROI’s well north of the company average. This is proof of the strength of our management team and the relevancy of our customer proposition. Fourth quarter sales in operating income in Puerto Rico were up from last year and ahead of plan. Sales performance was strong despite the continuing trend of economic recession and lower consumption on the Island. Rounding out the globe our operations in Asia. We saw strong 2007 sales growth at Wal-Mart China where comps were driven primarily by average ticket and grew in the high double digits in the fourth quarter. At the analyst meeting we told you that China comp sales were significantly outpacing Carrefour as of the first half. We are happy to say this trend continued for the full year. As for the fourth quarter the 12 new stores we opened contributed to the total sales growth more than twice that of Carrefour and almost three times the rate of market growth. Strong comp sales throughout the year, in addition to the deliver of our new store opening program led to total fiscal 2008 sales growth in China that was well in excess of two times the rate of the market. Trust-Mart finished the year with solid sales increases in the fourth quarter. In Japan we concluded our tender offer in December and now own 96% of the Seiyu business. We expect to acquire the remaining shares by second quarter of fiscal 2009 at which time Seiyu will become a wholly owned subsidiary of Wal-Mart and will no longer trade on the Tokyo Stock Exchange. In our discussion of Seiyu at the October Analyst meeting we explained how we intend to win in developed markets like the UK, Canada and also Japan. Taking Japan private not only reaffirmed our commitment to win in this market but has allowed us the flexibility to make necessary investments for turn around. As I mentioned earlier during the fourth quarter Seiyu instituted a home office restructuring which contributed to the growth of expenses as a percentage of sales. This restructuring program is a good example of making investments today that will pay off in future efficiencies. At the Analyst meeting we also discussed the Seiyu store and assortment of remodels. Initiatives on productivity and investments in price for key categories. As a result of all of these efforts food comp sales were positive in the fourth quarter. General merchandise categories where EDLP price investment has taken place are significantly outperforming. However, apparel comp sales were down during the quarter continuing an overall market trends. Although sales were below planned, the Seiyu team continued its focus on cost savings and productivity and leveraged expenses for both the quarter and the year. This will be a key in continuing our progress toward offering our customers every day low prices across all formats and merchandise categories. The Japanese retail market is a major strategic importance to Wal-Mart and our goal is to achieve long term success and growth there. Overall we are seeing encouraging evidence that efforts to improve our cost base and reinvest in price where it matters will pay off in Japan. This is a fragmented market where developing cost and price leadership will allow us to gain share and win in Japan. I’d like to recognize what a strong management team we have throughout Wal-Mart International. As I close I’d like to reiterate that we are well positioned to tackle the challenges ahead and deliver on the strategic plan I laid out earlier in the call. Now on to SAM’s Club.
Charles Holley: Sales for SAM’s Club grew by 6.3% for the fourth quarter and by 6.7% for the fiscal year. The US Clubs ended the year with a record $44.4 billion in sales. Excluding fuel comp sales at SAM’s Club increased by 2.5% during the quarter and 4.2% for the fiscal 2008. As others in the industry are reporting SAM’s did see fuel inflation during the year. For the quarter ended January 31, 2008, fuel sales positively impacted SAM’s Club comparable sales figures by 248 basis points. During the fourth quarter the average price per gallon was $2.90 versus $2.07 a year ago. For the full year fuel sales had a positive impact of 67 basis points on comp sales at SAM’s Club. Approximately 72% of the 591 US SAM’s Clubs now have fuel stations. Strong categories during the quarter included fresh and dry grocery as well as video games and electronics. Home furnishing related items were soft across the quarter. Operating income increased 2.5% for the fourth quarter over last year. This increase was impacted negatively by a year over year increase in real estate expenses. This was due to certain credits to SAM’s Club share of total US real estate expenses in the prior year quarter. Operating income increased 9.3% for the fiscal year. As a reminder SAM’s Club reported a benefit for a federal excise tax refund in the first quarter of this fiscal year. Operating income for both the quarter and the year benefited from expanded gross margins. Fourth quarter membership income continued to be below plan. From an expense perspective SAM’s Club leveraged operating expenses for the full year but fell short of that target in the fourth quarter. Inventory for the quarter and the year was a success story for SAM’s Club as were in stock levels. Inventory was nearly flat at the end of the quarter allowing the Club to finish the fiscal year with clean inventories in positioning SAM’s Club wealth for fiscal 2009. SAM’s Club celebrates its 25th anniversary this year. Back in 1983 when Sam Walton opened the first Club in Midwest City, Oklahoma, he had a vision of helping lower costs for small businesses. A vision that has carried forward to this day. Already this fiscal year SAM’s Club has a strong focus on driving membership acquisition and retention by demonstrating the value of a SAM’s Club membership to both prospective and existing members. As we enter what appears likely to be a period of economic uncertainty we believe the substantial savings and value that SAM’s Club offers to its business and advantage members for both products and services is a very compelling story. Tom will close with our guidance for fiscal 2009.
Tom Schoewe: In today’s call we shared a lot of news about the company and our strategic priorities for this fiscal year. I certainly agree with Lee’s excitement about fiscal 2009. A couple of take away’s, there’s no doubt that we are focused on price leadership, inventory management and operational excellence. These will continue to help drive our results this fiscal year. For the first quarter we expect US comp store sales to increase in the range of flat to 2%. This is based on the current trends we are seeing in the business as well as the challenging economic environment we are facing right now. We expect diluted earnings per share from continuing operations for the first quarter to be between $0.70 and $0.74 per share. For fiscal year 2009 we forecast diluted earnings per share from continuing operations to be between $3.30 and $3.43 per share. Thank you for your interest in Wal-Mart, have a great day.